Felipe Peres: Good morning. Welcome to our virtual meeting to present the results of the second quarter of 2025. This conference call is being recorded and has simultaneous translation into English please press the interpretation button at the lower hand of you screen. This conference call is going to be divided into 2 parts and we and our CFO, Andre Haui and Rafael Sperendio, our CFO going to present the highlights. The slide presentation or in English can be downloaded by Investor Relations website at www.bbseguridaderi. [indiscernible] that site back after the presentations to give you instructions if you want to ask the question. Now I want to give floor to Andre Haui to give highlights for the future. Andre, the floor is yours.
Andre Gustavo Borba Assumpcao Haui: Thank you, Felipe. Good morning. I would just start by thanking everyone who are with us in our virtual meeting to talk about the performance of BB Seguridade Second Quarter of 2025. This is an important movement to the results such give more commitment to value creation, innovation with the continued search for efficiency in all fronts of our business. Our net income excluding IFRS 17 standards and external events in the period reached BRL 3.2 billion, an increase of approximately 2% to compared the second quarter of 2024, annualized return on an at 90% in advancing more than 15 percentage points compared to the same period of the previous year. Significant increase is also observed in accumulated result in the first half of May with a net of BRL 4.2 billion with 13% and an [indiscernible] 93%, an increase of 12 percentage points. The quarter's result was driven by an 11.3% in operating income and a significant 69% in nonfinancial income created by an efficient basic management and knowledge of the company values retained premiums, reached to it's main revenue metric grew almost 10% to BRL 23.7 billion. The loss ratio remained at the lowest historical and ended the quarter, 21.5% within an improvement of 5.7 percentage points. Our accumulation business benefit reserves extended 9.3% in 12 weeks and the expense in the market ended in BRL 449 billion. In saving bonds, we reached BRL 1.8 million and followed a trend of strong growth of 25.1% compared to the second quarter of last year. Brokerage revenues totaled BRL 1.4 billion in 6 in the quarter. Results presented just like the management capacity, our tireless team innovating and creating so that generate most [indiscernible] this year being either delivering consistent numbers which pave the way for the company in a robust and sustainable way. We launched 2 initiatives in the end of March [indiscernible] results for the company. [indiscernible] is the credit insurance for private prepay which opened more than 94 million [indiscernible] and the second is credit life for consortium originated with premiums of BRL 82 million. At the end of June, we launched Credit Life meant for micro small business, a segment that we did not served in just over month, we had BRL 69 million in premiums. In livestock insurance revenue, we had BRL 69 million in premiums in the year, guaranteeing new features we launched for [indiscernible], a growth of 48% compared to the same period in 2024. We're pleased to celebrate the 30th anniversary of Ourocap has been a success. In 2 months, we had more than BRL 135 million collected with the [indiscernible] despite of our strategy of channel diversification, we reached the volume of 856 million premiums retained through commercial partners equivalent to 11% of the totally structured business. We have Life [indiscernible] so an insurance situations, we grew 40% compared to the first half of 2024. [indiscernible] We also sold 2.8 million [indiscernible] to new customers with a collection of BRL 11 million. We also advanced in digital channels where we remained at 30,000 sales in the [indiscernible] 46% with the new system in terms of premium bonds personal protection insurance products and our strategy to expand the base universalized protection solutions, and we see seen a [indiscernible] so remain satisfaction indicator, that has 3.7 points and remains consolidated in the qualities. We've reduced a number of complaints by 27% compared to the same period of last year and a churn followed by 10% sourcing the loyalty of our members. These advances are direct reflection of our management capacity and coordinated action of our companies. We have reduced the general admin expenses in all fronts. 7.8 percentage points in Brasilcap, 1 point in BB Corretora, 0.4% in Brasilseg. These efficiency gains are not just numbers. They represent our ability to do more with to deliver value with responsibility to customers at the center of our decisions. Now moving to I would like to give the floor to Rafael, who's going to you the main financial highlights for the quarter.
Rafael Augusto Sperendio: Good morning, everyone. Thank you so much, Andre. Now going to the details of our numbers before going to more details about the results like to briefly explain to you something that is common here at BB Seguridade, we break down and we separate nonrecurring items. But this quarter, we had an update and the stock for the settlement of the acquired decisions. So this affected a little bit of our numbers by BRL 62 million. And we think that this is a one-off item. We separated from the numbers of the quarter and year-to-date numbers. And this was a regulation stage that we had and especially the provision for claims to settle. Compared to previous quarters there was no regulation destining you. We still take these provisions monetarily and we had done our own internal methodology using NTC plus 1% and as [indiscernible] the new loss is that the monetary action is NTC, 7 minus NTC. After the end of the of last year, we are reaping risk expenses according to the new law and now we updated the entire inventory and this created this impact of BRL 62 million. So all of this is in our litigations. And I would like to please focus on all the numbers that we are going to discuss in recurring basis. So now sliding in, the net income is BRL 2.2 billion, BRL 2.3 billion if I take out that mismatch effect of liabilities, both in Brazil [indiscernible] 20% year-on-year growth. Now in the first half 5.2%, going from 14%, so it was the fact. So if we took out the impact of this time mismatch, so the time mismatched to about BRL 254 million in this first half, first half of last year was neutral. So it was a detractor for business, but we always reinforce that this amount comes back to our numbers units coming to come back to the bottom line in the second half of the year. And we [indiscernible] because in June, [indiscernible] had a strong definition of 1.7% with an impact in the assets and liabilities that was 0.5%, which was made [indiscernible]. So in August -- In July, it gets a little bit better, in August, it's going to be fully reversed. So probably in the third quarter, you're going to see that. Now the consolidated net invested income with a growth of 69% year-on-year in the second quarter 55% in the first half, accounting for a significant number [indiscernible]. Now we're going to the next page. This is the breakdown of recurring managerial net income with all the operating result and net investment in which have contemplated almost equally. So BRL 245 million in terms of the operating reason with a reduction in loss ratio. These are the main highlights in the year-to-date numbers. In terms of investment income, we had a gain with a direct impact of the impact of [indiscernible] plus the growth in volume in BRL 358 million. That's on the line mismatch. We've said taking BRL 254 million, then the mark-to-market as another BRL 173 million. And in the first week we had a positive impact with a gain of the not in to market of BRL 23 million whereas last year, we had a loss loan in mark-to-market with a BRL 50 million in the first half of 2023. So the combined effort in a financial investment income despite the time mismatch, we had almost BRL 300 million year-on-year. Now going into the details for Brasilseg. So financials written on page 8, we had premiums written in the second quarter dropped 1% year-on-year, and with a slight slowdown in a drop that we saw in the first half of the year that are say in the first quarter of the year. So this 1% reduction was very much impacted by credit life and rural insurance during second without going too much detail. But Credit Life is being impacted by credit life companies. so we had some growth in individuals, 5% from individuals but really group operation has been going down market. Now in terms of [indiscernible] in the press and in the media, it's a slightly more difficult value insurance and this is the main culprit for the drop of 3% in the quarter and year-on-year. And if you see the first month [indiscernible] so we saw a drop of 2.6% in retained premiums and factor explaining this in-house customers that left with higher tickets, and we ended up not being able to offset with the new sales. We had a slight [indiscernible] in the second quarter, it's still in the press release. They're growing medium to high growth with good performance on it quarter in quarter. And being the first half of the year. So we had an improvement in loss ratio in the last year, we had the disasters and the catastrophes in Rio Grande do Sul that affected our numbers, and we had other effects insurance that, in fact, centre south in Brazil this year. It didn't happen again and the loss ratio dipped a strong main comparison basis and the loss ratio is the main component explaining the better combined ratio. Also in terms of value creation of efficiency, G&A dropped year-on-year, also contributed to the better combined ratio. On the other hand, you can see high in commissions and because it claims in a mix [indiscernible] in total EBIT of [indiscernible]. Both investment income, the growth of 45% year-on-year, 42% in the first half, second higher sell but a significant income with [indiscernible] growth has been growing, and in year-on-year and 17% year in the year and with a combined rate and the main 1 and can be and there is recurring and this is a one-off effect. And then we had a 22% drop in direct effect of the regulation changes that we had with the introduction of the inflow of funds and which affected so the net inflows. So [indiscernible] 50 basis points in year-to-date, but quarter-on-quarter, it dropped with exemptions that we had until March of 11.6%. It dropped to 11.1%. Back and then we are still seeing so we don't see much volatility along the second when we are likely to see an improvement in redemptions in the second [indiscernible] results growth and then management fees rate 1% year-on-year. This is a result the dilution we are seeing management fees both on a change of risk profile with requires there, both more conservative products in a total of assets and so they drive down management fee. And then this impacted the drop of revenue and year-on-year especially, let's say [indiscernible]. So despite the reduction in revenue and management fee and marginal growth in year-to-date numbers. It is down stronger 20% year- on-year, 16% in the first half of the year, and this is a result of the improvement that we saw in financial in the net investment income, not just because of [indiscernible], but also with a positive effect on mark-to-market, but also contributed in a drop of a GPM with a significant reduction in stock liabilities are the main drivers for the growth of Brasilprev we saw but this acceleration in terms of the operational. Now, Brasilcap 24% and collections, 11% in the year-to-date numbers. Reserves grew 1%, lottery prices paid grew 6% -- 26% year- on-year. And in the first [indiscernible] BRL 31 million net investment grew 6% year-on-year because of the financial margin. And then in the first half of the year, dropped 19% because compression of financial margin. And this is basically we had in the first quarter, the negative adjustment of the hedge because we look in the curve and then we decided to protect most of our expense fixed income within the company didn't have enough time to fund the protection and then we had a negative adjustment of the hedge in the first the first quarter. You can see the net investment income has been growing in a smooth way. And here, you can see the variation in the net income, minus 4% year-on-year, 10% year-to-date numbers. And then [indiscernible] revenue grew 6% year-on-year, 5% in year-to-date numbers. And so this was the [indiscernible] from insurance products. And in present the savings in the premium bonds. And it has a contribution in the brokerage. The net margin grew 3.2 percentage points year-on-year, 2.4% in year-to-date numbers. And this is a result not just of an improvement in operating margins, but also an improvement in investment income because of the high selling rate. And the consequence of this is an increase of net income growing above the revenue because of a better financial result, 11% year-on-year, 9% in year-to-date numbers. And in closing, we have our guidance, so noninterest operating result range from 3% to 8%, delivered 7.4% this quarters. In terms of premiums written was in a range site. We're going down 3.4%, as I mentioned during the presentation, a quite strong impact [indiscernible] credit life. Pension land reserves, we delivered a growth of 9.8% when the range was improved to 16%. We revised projections and what we have to do is to adapt to the new regulation. So we have the IOS with the VGBL that has a significant income in the short term, and then we had to adapt and with an impact and the operational results, the impact of [indiscernible] is the result on the collections in pension plans or premiums to collect in pension and this has an impact in operating results, and we had to revise that the estimates. So this is one time fee. In terms of premiums written. So the range is still minus 4% to 1% because of this [indiscernible] environment, especially in agri business, there are new measures that can go in and accelerate the recovery of the credit life. This is a volatile so we decided to review for premium written. In term of pension plan results, 9 to 11, again, the impact of ILF. And this is the result of lower collection that we expected we had to incorporate this in our projections or we raise it down for growth from 9% to 12%. So these are the highlights of the second quarter. Now we're moving to our Q&A session.
Felipe Peres: [Operator Instructions] We'll try to answer all questions here live. [Operator Instructions] The first question comes from Daniel Vaz from Banco Safra.
Daniel Vaz: Good morning Felipe, Andre, Rafael. Congratulations on your performance. I have 2 questions. The first one, I would like to hear Rafael about the commissions -- unearned commissions in brokerage company. So could you explain the cash commission and cash and a usually Brasilcap -- so the cash is very much related to Brasilcap so it's slightly different in insurance and prev.
Rafael Augusto Sperendio: Daniel. Thank you for your question. So as to the revenues in the brokerage company so it varies a lot from products product. I'm going to try and simplify without going into too much detail, but I think this will be enough for you to understand how it works and why the -- to explain the resilience of our brokerage business at the brokerage company and also the insurance company because of deferred revenue, both in brokerage and premiums because they have the same dynamics of the former, because of time. So in the brokerage, credit life and pension, we charge a brokerage fee above -- over the volume collected. And this is booked as cash -- so there is no deferral. For insurance, it's completely. So far insurance products premiums in insurance and revenue from brokerage in the brokerage company they are booked according to the effect of the risk of the product. So for example, credit life that we have the longest risk and we defer commissions sometimes for 5 years approximately. This is the origin of the business. So the effective time is slightly lower because they are not carried up to maturity and sometimes, customers choose to renegotiate. So time is slightly shorter, but sometimes it's about 5 years. So today, commissions to be booked, that are still going to be booked at BRL 5.7 million. This is the total that we call a prepaid, but pension -- and the premium bonds so once the revenues are immediately booked as cash. That's why they are very sensitive in the short term numbers. So once collection goes up in these 2 lines immediately, the brokerage revenues of the brokerage company go similarly.
Daniel Vaz: Well, I asked because of that because there was a flattening of the curve, it was 4%. then it went to 5.7% and then it remained at these levels. So there is a factor to beat. So the second question is related what we have here. So as part of the basically, we have [ Marcelo Labuto ] back to Brazil, 1 of the directors of the group Brazil but in 2013 and 2015, they were at the [indiscernible] at the time of the IPO and so on. So I'd like to try and relate this whether it's possible some potential discussions of contract renewal over the 5 next years, considering that we are getting close to 2031, the first renewal of Brasilseg contracts. And then we need to try and understand whether it is coming back to the group is changing, whether this has anything to do, and so that we have an update, and this is valid, especially considering the scenario of the bank because capital is not so simple and then it could kind of unlock BB Seguridade.
Rafael Augusto Sperendio: Regarding that, Daniel, it's important for us to try and understand the governance tool, which are the duties of each 1 of the Executive Officer. So he is specific Marcelo Labuto, has brought experience in Banco do Brasil was even the President of the bank temporarily and then was the President of Seguridade. But he is being appointed to see for insurance operations. The discussion of agreements with partners, all the partners that we have will take place at the level of the Seguridade and Banco do Brasil. So the operational aspects part. So he's being considered as CEO of Brasil Seg to run the operation regardless of the discussions that take place at the level of partners. Just to make it slightly clear the difference in terms of the duties and the roles of different executive officers in the companies of the group -- so we -- in terms of shareholders' agreement with there's nothing going on, no.
Felipe Peres: Our next question comes from Antonio Ruette from the Bank of America.
Antonio Eduardo Gregorin Ruette: My question is related to pricing. So when we look at the loss ratio and then close the plus 3 in terms of operational results and the growth. And in premium, has there been any change or plan any change in pricing or pricing levels, especially considering this level of frequency in this level of loss ratio? Or is the idea that something is going to change in loss ratio? Or do you see any prospects of it going back to higher levels. I'm just trying to understand what you think when we compare loss ratio below historical levels and also contract prices. When do we think in terms of growth?
Unidentified Company Representative: Well, thank you so much for your question. As to pricing, the focus might be slightly more agriculture. So it's according to expected credit life compared to historical levels is slightly above the historical levels. But here, because of changes that we have implemented, we expanded our target audience and our risk in terms of insured capital, but within expected. And now structurally it's going to be slightly above historical levels in any way. In terms of homeowners insurance is slightly different from what we were expecting. So there are many -- and we have been at level of 30% to 40%, and the portfolio has been responding to that. In other lines, no changes. They're all performing very much in line as expected. We don't see any indications, any to change in our subscription policies or in the underwriting policy. So in terms of crop insurance, we have some margins to be slightly more aggressive in terms of prices because in the last 3 cycles, we've been having really great performance. But we need to be very careful because we are working with climate and we need to be very careful with that. Historically, it's not common to see that this pattern of 3 cycles in the row with the -- the quality of the crop that without any major event causing any major impact in loss ratio of the company. So yes. we do have margin to work on. We are going to work on prices, to have slightly more aggressive prices that we've had been working with it, but slight more careful, very gradual because the only line in our portfolio that is exposed to tail risk. So that's why we need to be very careful. So in principle, today, when we assess the projections, the most up to date in terms of climate, we are okay to work like that and the predominance, especially in next year for it to remain neutral. And so the perspective in terms of the weather is very favorable.
Felipe Peres: Our next question comes from Arnon Shirazi from CDC.
Arnon Shirazi: Andre, congratulations on the performance of this cycle. I'd like to ask a question about the dynamic of premiums. So July had ended. So I would like to understand your dynamics, especially for rural insurance after the suffer plan. And if you allow me, also in terms of premium, there has been a variation in the technical provisions that was really significant now this quarter. If you could explain it better.
Unidentified Company Representative: I'm going to answer your first question. And then I'm going to ask you to explain a bit better your second question. About the first one, we've been seeing a reaction in crops insurance. And now it's still too early for us to extrapolate this from now to the end of the year, but the year-on-year variation rates that we saw in the first half of the year, it had a significant improvement in July and now in the beginning of August that -- so the downwards tariff is not so steep anymore. So we have more funds being allocated to small and midsized farmers that is our target audience for crop insurance. So this composition favored us more than the composition that we just last year. But at the same time, there are some other factors that need to consider more carefully and especially the reduction of the subsidy for crop insurance. So we need to estimate the size of demand, the appetite of farmers in terms of risk and how this recovery is going to take place along the second half of the year, but still too early to say anything. About your second question, if you could repeat that, please, I'm not sure I fully understood that.
Arnon Shirazi: In terms of retained earned premiums, there was change in the technical provisions that was significant this quarter, about BRL 310 million compared to a much lower amount year-on-year. And is there any explanation?
Unidentified Company Representative: I'm going to try and infer the reason for your question. this has a little bit to do with the answer that I gave to Daniel. So as part of provisions for unearned premiums at Brasilseg that is strong components, which is prepaid revenue and coming especially from credit life. So when credit life slows down as we've been seeing because it is a very long product. And so we are still booking lots of revenue and it's one of the lines that grew the most. So that there is revenue from past cycles that we are booking. So we've seen written premiums going down by 3%. So when we eliminate the noise of reinsurance with crop insurance, and most of the drop is related to crop insurance. When it take out crop insurance from the net, you can see retained premiums is almost flat. 0 risk and a growth of 2% year-on-year. And when we have retained earned premiums, so there is the great debt issued. And then I go to a second time which is the booking of premiums from sales that were made in the last 3 years, more or less, most of them. So the retained earned premiums go up by 9%. So there is no change in the criteria yet. But this is linear deferral differently from IFRS 17. So deferral is linear, so it's a result of this big metrics of earned premiums that we've built over the last 3 years with sales of credit life that now are coming clear and being booked in our bottom line.
Felipe Peres: Our Next question comes from Tiago Binsfeld from Goldman Sachs.
Tiago Binsfeld: Rafael and Andre, I would like to understand the change in operational guidance. So the second half of the is going to be very much the first half. And I'd just like to understand, well, you said something about the loss ratio and the crop insurance being flat, is there a significant higher deterioration of the loss ratio? Or are you conservative because of any other component of the operating results.
Unidentified Company Representative: Thank you for your question. Just to make it clear, we just need to review the operating guidance because of the incidence of IOF in PGBL. And so if nothing had changed, there would be no reason for us to review it down in any of neither of the 2 branches. Now IOF in impacting collection, so it's directly related to the brokerage revenue and BB Corretora, our brokerage company. So if -- I didn't have the new law, the new regulation. We would be able to bear the previous range because even though 1 line is slightly below what we initially expect, we had margin with it and range. And absorb any other unexpected variation that you reinforced in the second half, especially the loss ratio of crop insurance. We don't expect a significant changes, but there would be some space in the previous range to absorb it. Now in the second half of the year with the impact of IOF in and this margin is not enough to absorb any type of unexpected variation that we may have. So because we are very cautious, we decided to review down the range to have slightly more margin if anything varies in projections because the impact of IOF that takes up 1 to 2 points depending on how we will be able to react in terms of the growth of operating results. So we had to incorporate this in our estimates, and the same thing applies to pension reserves. Now with IOF, this ends up -- ended up taking out like 3 points on the growth of reserves. So this needed to be reflected in our projections. So this has been the main driver, the main reason that led us to review the range. Otherwise, you would only have reviewed the written premiums and based on actual numbers and forecast for the second half of the year with a lower volume of subsidies for crop insurance, we had to incorporate that.
Tiago Binsfeld: Allow me to ask a brief question, Rafael. We saw that solvency of your subsidiaries has improved. So how do you understand the capital of your affiliates and also payout considering this context.
Rafael Augusto Sperendio: Well, yes, we are considering that Tiago. In Brasil Seg. So we are very close to our risk appetite and it varies from company to company, about 1.2%, 1.3% of the regulatory capital, this is our risk appetite. Where we wouldn't have more room is in Brasilprev has not yet paid out the profit of the first half of the year. So there is a capital surplus which is well above our risk appetite and Brasilcap. There is a situation if you remember that because of the strong movement in the opening of the curve in the end of last year, we had to take capital from third parties to cover the liquidity deficit. But in the middle of the second half, we had recovered the capital basis, and we are very conservative. And so the third-party capital, and we are likely to use the results that have been generated to settle the debt now in September. So with all of this, we expect the payout for the first half, it's almost 90% and it should be expected that in the second half of the year, the payout is going to be slightly higher than the first half, of course, considering a higher basis of profit than in the first half. So for the whole year, it should be higher than the first half.
Felipe Peres: Second question from Marcelo from [indiscernible].
Unidentified Analyst: Number one, I would like to have a follow-up on the payout. So the company has most 1,100 of shares in treasury. And as you have the buyback program. So the situation of Banco do Brasil was slightly different. Now we are seeing what's going on at the bank in terms of capital and preservation. So does the situation in the bank changed in any way what you're going to do with the shares in treasury, whether you're going to sell and then the bank is going to pay and have a higher payout I would like to understand better the shares in the treasury. So the second question is what do you think will be the collection or in terms -- so if you could explain to us a little bit about what you are going -- your inflow at least in gross inflows in pension in the second half of the year?
Unidentified Company Representative: Thank you very much [indiscernible] for your question. So upon the shares that are in treasury, we had the buyback program. So our understanding here -- so we have here the vision that -- the shares are not that of the fair price, but we are aware of the impact that has in the bank's capital. So for now, we don't have -- we are not planning to launch any new buyback program. As to what we are going to do about that, this is a decision that is up to the Board of Directors. So on our end here and today, we don't have any reason to sell those shares to the market, even though the program has been approved, we have the authorization for them to be capped in treasury and has sold -- or sold -- but so far, we have no reason in the management of the [indiscernible] that we're not planning to sell those shares. But this is a decision that is up to the Board of Directors and depending on what they decide and we executive officers are going to do what they tell us to do. But so far, we have nothing, no decision has been made about that. As to the IOF according to the new role, it's very difficult for us to get to a number that is exact [ Missouri ]. This very great being and the breakdown of products and our group of farmers have a cash flow that is very much concentrated at certain times of the year that we'll have pension contributions in amounts that will be higher than those defined. So in our understanding, we think that it can be 20% to 30% thinking in terms of collection now. But then on the other hand, we are not going to be passive and we've been adopting have been adopting different commercial strategies to deal with that working better on the scale of payments or the schedule of payments along the year, avoiding concentration at certain times of the year to try and minimize this effect. That's why it's difficult for us give you an exact percentage, but it has the potential to get in terms of collection.
Felipe Peres: Our question comes from Pedro Leduc from Itau BBA.
Pedro Leduc: Thank you for the call and letting me to ask a question. As far the rural premiums, we've been seeing the crop insurance getting weaker and being offset by rural being -- this quarter, there is a kind of slowdown in these 2 projects, but I would like to hear from you, how do you see the relative penetration of the rural and farmers life, and how do you see this in the future in terms of growth and how these products are going to grow, maybe penetration is high. How do these 2 products within your rural portfolio, how are they likely to behave in the midterm?
Unidentified Company Representative: Thank you, Pedro. Thank you for your question. Now trying to saying what we expect in terms of the rural portfolio in the second half of the year. So you are right, there has been a slowdown in the second quarter, but this is a result of the comparison basis. So in the second half, you can expect the same movement. This rate is going to slow down, both in rural lien for farmers insurance too, so an acceleration in crop insurance in the second half so that the combined growth or the combined variations in terms of premiums written in the rural segment or rural portfolio, the level is going to be higher than we have today, if we consider year-to-date numbers until June. So this variation rate is going to be better in our rural portfolio in the second half of the year with slightly different composition. So if you think in terms of retained premiums of crop insurance just 2%, so very low level. So as I said before in 1 of the answers. So crop insurance now is reacting in July and in August, it's good too. So this is going to persist along the second half of the year, so that rural as a whole, will have a better performance, and this is implicit in the reviewed growth range that we have in our guidance. So in terms of penetration, we have higher penetration in terms of lien insurance slightly more than in life but here, so lien is mandatory. There are some lines that we still operate very little and with a growth potential in terms of Bank of Brazil in terms of livestock, for grains, it's very high, but in livestocks still very low.
Felipe Peres: Next question comes from [ Evandro Midas ] from [indiscernible].
Unidentified Analyst: [indiscernible] of reserves in Brasilcap when adjusted by inflation, it has been growing since 2012. How do you explain that in Brasilcap?
Unidentified Company Representative: Evandro, thank you for your question. So it's a bit difficult for us to analyze such a long time spend because along all this time, there have been many changes in our product. So what influences directly the reserves is very much the average time of bonds. So when we shorten the time, the reserve for the next 2 or 3 years goes down. If we have longer times the reserve response by growing. So 2012 in '13, there are very strong growth in reserves precisely because of the longer times, and then we had the movement of shortening at times, which persisted until 2019 -- '18, '19, more or less. And then now we have longer times again. We although cap 30 years product. So we have longer portfolio. So reserves are likely to grow again. So this is very much related to the timing, to time. And that's why you see this variation.
Felipe Peres: Our next question comes from Carlos Gomez from HSBC.
Carlos Gomez-Lopez: 1 on the IOF and the impact -- pretty dramatic impact it is having on the pension business. Have you had discussions with the authorities? Do you have any prospect that this could be modified or reversed in the future? And second, on the contracts, both with -- for the subsidiaries and for the Corretora, when would it be a realistic time in which the company should start negotiating with both partners?
Unidentified Company Representative: Carlos, thank you very much for your question. I'm going to start adjusting the first one, like, for sure, we had made discussions with the government and authorities and not just true, but basically Seguridade, but also with our confederation that unite all the biggest insurance companies in Brazil. This topic has been discussed between Congress, the executive and now judiciary in the legal system. So it's a little bit hard to foresee any changes for now. This topic must be discussed again between Congress and executive so maybe they can reach an agreement. For sure, the sector is working on a different perspective that we could reach a new agreement. But so far, it is what it is. We have no perspectives. The Congress just restarted their legislative year so far. So we can expect a -- these discussions can come along. But we know that there are other topics that has been taken over the news and taken over the agenda. So, so far, we have to work what we have in hands right now. What was the second question.
Unidentified Company Representative: It was about the negotiations and the negotiation of a Bank of the Brazil about the distribution...
Unidentified Company Representative: So far, we remain where we started, like the discussions will take place when they must take place. I believe that we are far from the end of the agreements that we have in place. So, so far, we are working along with our partners to make the best into profit with them. So that's it. And for sure, it as we talk about it, it's not taboo, but we have nothing solid so far that we could bring to the table and tell you guys.
Carlos Gomez-Lopez: We understand that. I guess the question is what is realistic? Is it 2 years, 3 years? When should you start talking so that it is not disruptive to the business?
Unidentified Company Representative: Carlos generally, like we haven't meet in like 7 years so far until we reach the first deadline. I believe like the end of next year, beginning in 2017, this must be a good time for start the discussion. Generally, M&As, you do not start like 1 year before, but 3, 4 years when you're talking about large companies like us. So I would tell you that -- but you can ask this question again like [indiscernible] different answer for the next CEO.
Felipe Peres: Our next question comes from Guilherme Grespan from JPMorgan.
Guilherme F. Grespan: Felipe and Andre. And I would like to hear your diagnosis, so there's a positive diagnosis in your market share in Banco do Brasil's market share, in the agri business. And my question is because it's becoming increasingly relevant. And so in our 2/3 of the Brasil Seg is not growing. But when I look at the market share of Banco do Brasil 10 years ago, they used to have 65% of the market share in YouTube. And in the last 10 years, Banco do Brasil dropped to 53% market share. And after the last -- the crop 53% is going to drop even further. But I find it is that you do remain with 63%, 64% market share in this industry. And so there was a mismatch or detachment a difference. So why do you think you have this market share in the industry? Are you going to lose that's become more competitive, both in terms of incumbents joining in this industry. So what is your diagnosis and how do you see your leadership, please?
Andre Gustavo Borba Assumpcao Haui: I'm going to answer this first, and then I'm going to give it over to Rafael to complement. So considering the size of the market and our capacity to innovate and create new products and not just to the origination, but inventory too, and we can see this in rural lien we think that we still have room to grow. And this is the way I see it. Of course, we see incumbents taking up space. We are way ahead of that, and the market is going to become increasingly more competitive. We can see major competitors, and we have this industry, and we are worried about that. That's why we have to become increasingly more efficient in innovation monitoring, and in defining parameters, we have been reaching new levels in terms of the offer of products, and we need to remain very competitive. But in my opinion, of course, this is going to take a while still. And the vision of the bank. I'm not going to say because it belongs to the bank, and I don't speak for them. There are many factors that needs to be considered in the market, especially considering collateral and credits, loss ratio, capacity to protect our customers. So we think that we are going to be different for quite some time. But if we're not creative and have competitive value offer, yes, we are going to be affected more strongly in future years. For now, we remain at very good levels, always paying attention so that we can have the best in technology to offer to our consumers.
Rafael Augusto Sperendio: Just complementing -- so when we see the insurance products that they have quite strong synergy with banking products so undeniably on average, considering the banking products, if we see the life cycle of products they're at the level of maturity that is higher than insurance products. And this makes it possible for us to advance these movements and to try to delay even for this context of more competitiveness and margin reduction, which is likely to happen. But as you said, this is going to be more slowly. A practical example of that in terms of funding products for farmers. So there has been a significant increase in recent years in the share of others funding lines, especially for farmers. Until recently, we didn't have an insurance product but 2 farmers -- but we're in advance significantly in terms of crop insurance to combine it with a new funding mechanism. So we've been using very much the platform, which is a joint investment with Banco do Brasil to try and find alternative ways for traditional bank loans in the agribusiness. This is very clear.
Felipe Peres: We've 2 questions that are posted in our Q&A. One is very frequent but those who are joining us now it's interesting. This is about the change in the flow of payments of dividends that went from every 6 months to every 3 months to be quarterly. And the second question is what we think about the market economic scenario and the main variables and how this can affect our businesses?
Rafael Augusto Sperendio: The frequency of payout of dividends so far, we are happy our practice of being it every 6 months, also considering the cash generation of the company. So the brokerage is a major such source of cash generation can only pay out its dividend every 6 months. So we have no intention on changing that frequency. And this man very depending on availability. We might have an extraordinary payout. But we are not seeing that we're going to have the quarter payout of dividends. And to the scenario, this is a very broad question. What we've been seeing in the short term, this scenario of a higher SELIC ends up being beneficial for us. For our bottom line, it has had a direct impact in our net investment income. In terms of inflation, very beneficial, with the plan of benefits in Brasilprev and with the IPCA at 5%, and IGPM at 1.3% if I'm not mistaken, this is up to date. And so we saw every point that IPCA is above IGPM, we have an impact of BRL 30 million in our profit. So this is very positive. But then on the other hand, this makes it more difficult. But if we have a high interest rate scenario makes it difficult for us to grow operationally because the operational growth is formed by lines that are somehow related to the SELIC. If we have a 15% rate, so having a life protection or credit life for a credit operations, not the same as if the SELIC is 8% or 7% so this makes it slightly more difficult for us to grow, especially in terms of companies. As I said during the presentation, we are seeing a reaction of individuals, but for companies, we are feeling it's even stronger, it's even more difficult. So this is what we have been seeing. And then we see the financial much more than offsetting the slowdown -- and this is not the bad environment that we have when we look in the medium long term. But in the short term, this is very favorable.
Felipe Peres: Thank you, Rafael. Now we are ending our questions-and-answer session. Rafael, Andre, if you want to make any closing remarks.
Unidentified Company Representative: So I would just like to thank everyone for being with us and to say that I am available along with the Investor Relations team to answer any questions that you may still have, that we didn't answer during our meeting here. So I'm ending my cycle and the company. So first of all, I would like to thank our shareholders, our controlling shareholder, Banco do Brasil and especially the major shareholders that believe in our company. special gratitude to the whole team and our team that make this company be what it is truly, and I would like to thank everyone, supporting us, everyone here at the studio. Thank you very much. Thank you all very much, and I hope to see you soon. Thank you. And as a reminder, we have satisfaction that survey with a QR code on the screen, if you could answer, we are very grateful to you. Have a good day.